Operator: Good morning, ladies and gentlemen, and welcome to the Perrigo Second Quarter 2024 Financial Results Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Friday, August 2, 2024. I would now like to turn the conference over to Bradley Joseph Vice President of Global Investor Relations. Please go ahead.
Bradley Joseph: Good morning, and good afternoon, everyone. Welcome to Perrigo's second quarter 2024 earnings conference call. I hope you all had a chance to review our press release issued today. A copy of the release and presentation for today's discussion are available within the Investors section of the perrigo.com website. Joining today's call are President and CEO, Patrick Lockwood-Taylor; and CFO, Eduardo Bezerra. I would like to remind everyone that during this call, participants will make certain forward-looking statements. Please refer to the important information for shareholders and investors and safe harbor language regarding these statements in our release issued earlier today. A few items before we start. First, unless otherwise stated, all financial results discussed and presented are on a continuing operations basis. Continuing operations include the HRA Rare Diseases business, which was classified as held for sale after the quarter end and does not include any contributions from the divested RX business, which was accounted for as discontinued operations prior to its sale. Second, organic growth excludes acquisitions, divestitures, exited product lines and currency in both comparable periods. All comments related to constant currency removed the impact of currency translation versus the prior year by applying the exchange rates used in the comparable measurement in the prior year's financial statements. And third, Patrick's discussion will focus solely on non-GAAP results, except as otherwise noted. See the appendix for additional details and reconciliations of all non-GAAP financial measures presented. And with that, I'm pleased to turn the call to Patrick.
Patrick Lockwood-Taylor: Thank you, Brad. Good morning, good afternoon, everyone. So to begin today's call, I'd like to briefly reflect on my first 12 months as CEO, and the significant strides our team has made to advance our One Perrigo vision. As we are building out critical capabilities needed to win in self-care, we have also faced challenges, notably in the infant formula regulatory environment in the US as we work together to ensure the supply of this critical product for caregivers and babies. I've been especially proud to work alongside my team as we have addressed these issues head on and with a spirit of resiliency. We're emerging as a stronger company as a result of these efforts. I spent considerable time assessing our organization portfolio and the competitive landscape. This body of work has only reinforced my original thesis that Perrigo has a strong foundation with a robust asset base. I believe we are poised for greater scale across multiple fronts and have the capacity to drive value-accretive growth through consumer-led innovation. This work has also identified the highest potential growth opportunities within our company today and will inform our strategic go-forward portfolio, which we look forward to discussing early next year. We have also executed key cost savings and efficiency initiatives with excellence. Some of these savings will be reinvested to fund both near and long-term priorities, including brand building capabilities in the US and provide greater scale for our identified growth opportunities. Additionally, we have made significant progress in strengthening infant formula and are working through long-term sustainable growth plans for our US store brand business. Finally, when I started at Perrigo, I was excited to encounter an organization comprised of dedicated and talented individuals who are committed to excellence and achieving top-tier performance. Over the past 12 months, we have further built on this foundation, welcoming additional world-class talent to the company in such areas as quality, brand building and other leadership, which has strengthened our consumer focus and overall capabilities. In summary, we have completed a great deal of strategic work, all while driving execution across our business. I'm energized by the passion and commitment of my colleagues and remain enthusiastic about the opportunities Perrigo has to create value. Year-to-date, we have delivered on our commitments while managing certain challenges. We discussed at the start of the year that efforts to enhance our quality assured infant formula network would have a meaningful impact from first half results, and they did, impacting organic net sales by 5.3 percentage points and earnings per share by $0.43 versus the prior year. After committing intense energy and resources to strengthening infant formula, this business is now poised to deliver ahead of our original expectations for the year. More on this in a few moments. We also said that we expect to deliver 2024 gross margin of approximately 40%, excluding the infant formula impact. And in the first half of the year, we did just that. This performance reflects the positive impact of product mix, driven by growth in our branded portfolio and our supply chain and Project Energize efficiency programs. Finally, we delivered on our first half EPS and continue to expect sizable earnings uplift in the second half. While there were headwinds to our top line, a diversified portfolio, accretive initiatives, and relentless execution enabled us to deliver on our bottom line expectations. Overall, I'm pleased with our first half performance and particularly in how we have addressed challenges in infant formula. At the same time, however, there are business dynamics that have changed during the quarter, and these merit discussion. First, we are confident in the recovery of our infant formula business and expect profitability to recover faster than originally expected for the year. Second, Perrigo's global diversified business insulates us from major seasonal impacts. During the second quarter, cough/cold and allergy volume consumption in geographies where we compete declined mid to high-single-digits, stemming from much lower seasonal incidences and net changes in inventory levels at U.S. retail customers. These factors led to lower net sales of our cough/cold and allergy products in the second quarter. The result of these dynamics is an unfavorable impact to our 2024 net sales outlook of approximately 2.5 percentage points. Our diversified business model, however, helps us to absorb these sales impacts further down our P&L. Third, turning to our U.S. store brand. Perrigo has a rich history as a market leader in this space and we are confident in the value we bring to customers and consumers. At the same time, we continue to focus on improving margins to deliver value to shareholders. This can lead to certain instances where we make the strategic and economic decision to walk away from business and in the second quarter, we did just that. During negotiations with one customer, we tactically walked away from a portion of our business that was becoming too dilutive to our margins. This loss distribution is resulting in a 1.5 percentage point headwind to our 2024 net sales outlook. However, as the current net value of contracts awarded and lost in 2024 is positive, we expect this net sales headwind to be fully offset in 2025. The culmination of these three business updates is anticipated to enhance our full year gross margin, now expected to approach 40%. Previously, we had expected full year gross margin of approximately 40%, but excluding the impact from infant formula. Summing this up, our lower net sales outlook for 2024 is expected to be offset by improved gross margin expansion due to faster-than-expected recovery of infant formula profitability and improved mix in the rest of the business, as well as lower variable expenses this year. This gives us the confidence to reaffirm our full year EPS outlook. Now, let's dig into our second quarter results. Organic net sales declined 9.1%, which included an expected impact of minus almost 7 percentage points from infant formula and an impact of 4 percentage points from lower sales in the upper respiratory and painless sleep aid categories, partially offset by a growth of 1.7 percentage points from the rest of the business. Gross and operating margins expanded meaningfully year-over-year, plus 190 basis points and 160 basis points, respectively. Sequentially, the expansion was even more pronounced as both gross and operating margins expanded more than 400 basis points compared to quarter one 2024. Operating income in the quarter was up 1.5% or 16.7%, excluding the year-over-year impact from infant formula. Second quarter EPS was $0.53, which whilst down $0.10 from a year ago this is due primarily to a $0.09 per share discrete tax benefit in the prior year and the year-over-year impact from infant formula of $0.14, which was mostly offset by performance across the rest of the business. Looking at the component of organic net sales now in further detail, as just discussed the nutrition category was the largest headwind stemming from actions we are taking to strengthen our quality assured infant formula network. The net sales impact of minus four percentage points from the Upper Respiratory and Pain & Sleep Aids category was due to: one lower seasonal demand in the current year; two, net change in inventory levels at U.S. retail customers where we experienced restocking of inventory in the prior quarter and destocking in the second quarter of 2024. These inventory dynamics and the lower seasonal demand I just mentioned, accounted for approximately three points of the four points decline. And lastly, SKU prioritization actions to enhance margin accounted for the remaining one point. As a side note, this now completes the Americas SKU prioritization actions under our Supply Chain Reinvention Program. These impacts more than offset the positive 1.7 percentage points of growth across the rest of the business, driven primarily by our global branded portfolio. This branded growth included the recent launch of Opill which along with ellaOne drove growth in the Women's Health category. Additionally, share gains in Compeed and Jungle Formula like growth in Skin Care. Looking at our 2024 operational priorities, I'm pleased to say we remain well on track. We've made significant progress augmenting and strengthening our infant formula business and are increasingly confident in our second half recovery as production volumes return. Opill sales continue to grow in the U.S. and our team is actively monitoring and analyzing consumer awareness, trial conversion and repeat usage through our real-time technology stacks. This analysis allows us to make swift and informed decisions, leveraging instantaneous insights to optimize our strategy. We are learning what sticks with consumers, and we'll continue working with customers to enhance consumer interest for the product. We are confident that Opill will be an important reproductive health product for women in the U.S., for many years to come. We also continue to benefit from our accretive initiatives. First, we're on track to deliver a total of $25 million in incremental HRA synergies this year. Second, our Supply Chain Reinvention Program achieved gross savings of $23 million and a gross margin expansion of 40 basis points from the SKU prioritization actions year-to-date. And finally, Project Energize achieved $53 million of gross savings in the first half of the year. And we remain well on target to deliver $140 million to $170 million in pre-tax annualized gross savings by 2026. Now to Infant Formula, all sites are up and running, producing reliable quality assured infant formula. Our focus now lies on rebuilding customer service levels and swiftly getting these critical products back on the shelves to serve consumers to need high-quality, affordable infant formula. We are currently making significant progress in quality control, production, packaging and release attainment. On a weekly basis, production volumes through the first four months of this year were approximately half of 2023's average weekly levels. During May-June as we ramped up production following the remediation efforts with our new protocols in place, we immediately achieved production volumes of 90% of the prior year levels. And our latest data available for July reveals that production is on a path to return fully to prior year levels. Furthermore, manufacturing efficiencies are recovering faster than expected stemming from reductions in production stoppages and product scrapping, giving us confidence in the recovery of our second half profitability. I want to relay my thanks to the entire team on achieving this outstanding progress and their dedication to getting this business back on track. Progress made against our self-imposed remediation plans have been impactful both to our financial results, but also to the health of our business. But this business is not without other known challenges. As you may recall, the genesis behind Perrigo acquiring its Wisconsin facility from Nestlé in 2022 was to bolster our network and eventually replace an aging facility through this cost-effective acquisition. Now that we are producing reliable quality assured infant formula across the network, we will now start the work on optimizing our production footprint over time. So, in summary, our business is strong. We remain on track to deliver our critical accretive initiatives and margins are anticipated to continue to expand. We've made significant progress in infant formula and are very focused now on driving performance in U.S. store brand. We are successfully consumerizing, simplifying and scaling One Perrigo. Our investments in brand building capabilities are starting to pay off and we have tremendous growth opportunities ahead of us. The strategic work on how to win continues and we expect the outcome from this important initiative will pay dividends in 2025, 2026 and beyond. Critically, our team remains focused on delivering on our commitments and deleveraging the balance sheet. Perrigo plays a vital role in a sizable and growing self-care market by delivering value to consumers and society. I want to thank of course my 9,000-plus Perrigo colleagues for their commitment to increasing access to consumers around the world. And with that, I will now turn the call to our CFO, Eduardo Bezerra to cover the financials. Eduardo?
Eduardo Bezerra : Thank you, Patrick. Good morning and good afternoon everyone. Looking at the second quarter financials, starting with the GAAP to non-GAAP summary. Primary adjustments to our second quarter non-GAAP P&L were first, amortization expenses of $58 million, restructuring charges of $37 million, primarily related to Project Energize, and a $34 million impairment charge related to the divested HRA Pharma Rare Disease business. Full details can be found in the non-GAAP reconciliation tables attached to today's press release. From this point forward, all financial results discussed will be on an adjusted basis unless otherwise noted. This Patrick already discussed second quarter consolidated top line results. I will fast forward to operating results. Operating income of $139 million, grew 1.5% versus a year ago, as benefits from accretive initiatives including our Supply Chain Reinvention and Project Energize programs more than offset the impact from lower net sales and actions in infant formula. Excluding the year-over-year impact from infant formula operating income grew plus almost 17%. EPS was $0.53, down $0.10 from a year ago due primarily to a $0.09 per share discrete tax benefit in the prior year and a year-over-year impact from infant formula of $0.14, which was mostly offset by strong performance across the rest of our business. Year-to-date organic net sales declined 8.1%, including a known minus 5.3 percentage points impact from infant formula and minus 4.4 percentage points impact from the Upper Respiratory and Pain & Sleep Aid categories that Patrick just mentioned. These impacts more than offset plus 1.6 percentage points of growth across the rest of the business. Year-to-date adjusted operating income was down almost 10%. Excluding the year-over-year impact from infant formula operating income grew almost 17%. Year-to-date earnings per share declined $0.25, or 23% including the impact from infant formula of $0.43 and the prior year discrete tax benefit of $0.09. Looking at organic top line performance by segment starting with CSCI. Organic growth in the quarter was plus 1%. Lower seasonal demand and supply constraints in the Upper Respiratory and Pain & Sleep Aid categories resulted in a 3.5 percentage point headwind versus the prior year. This was more than offset by strong growth of 4.5 percentage points across the rest of the segment led by market share gains in key brands, such as Compeed, ellaOne and Paranix in addition to high single-digit growth in our U.K. store brand business. In CSCA organic net sales declined 15% due to minus 10.8 percentage points from infant formula and minus 4.4 percentage points from the Upper Respiratory and Pain & Sleep Aids category. Organic net sales included a reduction of 1.8 percentage points from the final tranche of SKU prioritization actions to increase margins. Growth across the rest of this segment was flat. And importantly, our OTC brands grew more than 40% driven by Opill, Nasonex and Mederma. Margin expansion has been a tough focus for our team. As you can see on this slide this focus has translating to meaningful margin improvement over the past couple of years and we remain on track to achieve our operating margin target of 14% to 16% by the end of 2024. In Q2, gross and operating margin expanded 190 and 160 basis points, respectively. These were driven primarily by accretive benefits from our Supply Chain Reinvention Program including the SKU prioritization action we just discussed and Project Energize. Also worth highlighting is the sequential progress of margins. Both gross and operating margins expanded more than 400 basis points quarter-over-quarter. As I just mentioned second quarter earnings per share of $0.53 declined $0.10 versus prior year. This change included discrete tax benefits in the prior year quarter and the impact from infant formula. Moving to cash. Our cash on the balance sheet at the end of the second quarter was $543 million not including upfront proceeds of $205 million received from the divestiture of the Rare Disease business completed on July 10, 2024. Year-to-date operating cash flow was $8 million as cash generated from the business was mostly offset by first $40 million of restructuring costs primarily related to Project Energize; and second, $97 million from the shareholder lawsuit we settled last quarter. As a reminder, we expect a full recovery of these $97 million from insurance still during 2024. During this quarter we invested $29 million in capital expenditures and returned $38 million to shareholders through dividends. We continue to anticipate operating cash flow conversion for the full year of 90% to 100% as a percentage of adjusted net income. In total, our estimated ending cash balance for 2024 remains between $500 million to $550 million, including the expected recovery of the $97 million shareholder settlement. And as committed, we continue to expect a net leverage ratio of approximately 3.8 times to 4 times at year end. Turning to our 2024 outlook. We're increasingly optimistic about our infant formula business. Our global branded portfolio continues to perform well and we expect a normal sell-in for the upcoming 2024-2025 cough and cold season. However, we updated our 2024 net sales growth outlook versus the prior year. While this does not impact our EPS outlook we now expect organic net sales to decline in the range of 1% to 3% and all-in net sales to decline in the range of 3% to 5%. These updated net sales ranges imply a four percentage point change in the midpoint to our previous net sales outlook. This is due to two primary factors. First, 2.5 percentage points from our second quarter results is stemming from lower global seasonal demand and U.S. retailer destocking. And second, 1.5 percentage points from US store brand due primarily to the business we walked away from which Patrick discussed. As a reminder, we expect this 1.5 percentage point net sales headwind to our 2024 outlook from US store brand to be offset with new business wins leading to no impact to top-line growth in 2025. Pulling this together and as just noted the P&L impact from the updated net sales outlook is expected to be offset by improved gross margin expansion and lower variable expenses this year. This gives us confidence to reaffirm our full year 2024 adjusted earnings per share outlook of $2.50 to $2.65. Interest expense effective tax rate and operating cash flow conversion remain unchanged, and we now expect lower cash spend related to infant formula remediation. Our second half earnings per share is expected to be more than double our first half. Let me provide some color here. There are three key drivers of this expected growth. First is the recovery of the infant formula business, starting with the absence of significant remediation costs, including extended client shutdowns that took place in this first half of the year. Next, the phasing of sales has always been weighted heavily to the back half, which you'll see drives a meaningful contribution for the balance of the year. Second, timing of Project Energize savings, of which we have already made significant from investments and have achieved the $53 million in gross savings year-to-date is expected to result in lower operating expenses in the second half. And finally, the contribution from the rest of the business, which is expected to increase slightly compared to the first half, driven by the seasonal cough and cold selling. In conclusion, I would like to extend my gratitude to the entire Perrigo team for their continued dedication. We remain confident in our ability to adapt, evolve and deliver long-term value for our stakeholders. Thank you for your time and continued trust in Perrigo. And now I will turn the call back to Brad. Brad?
Bradley Joseph: Thank you, Eduardo. Operator, can we please open the call for questions?
Operator: Thank you. And ladies and gentlemen, we will now begin the question-and-answer session [Operator Instructions] And your first question comes from the line of Chris Schott with JPMorgan. Please go ahead.
Chris Schott: Great. Thanks so much and congrats on the progress here in nutritionals. I had a couple of questions on this lost customer. So maybe just can you elaborate a little bit more what happened here? It sounds like this wasn't a very profitable business you walked away from. But -- are there any particular segments within CSCA that we should be watching here? And maybe the second part of the question there was, I just want to make sure I caught the comment regarding the impact on 2025. It sounds like wins elsewhere will offset the business you lost, but just maybe talk a little bit about the margin profile of that new business versus what you lost. So just a little bit more color on that front, and I just have 1 follow-up after that. Thank you.
Patrick Lockwood-Taylor: Yes. Hi, Chris, this is Patrick. I hope you're well. Thank you for the question. This was a margin-dilutive business. We looked at it very carefully. It was one customer. It was several molecules of subcategories. And we're reporting it because really it was a one-off. It was impactful in terms of revenue, but positive in terms of margin expansion. And then you're right to pick up on the other points. Our net gain, we have a net gain in contract 1 this year in our store brand business. And we'll start to see that revenue flowing in late quarter four, but more predominantly in 2025. So net, it is -- we're not seeing any change in revenue outlook as a result of the loss of that more unprofitable customer. And you're correct again to say that the businesses won versus that business lost is more margin accretive, yes.
Chris Schott: Okay. Very helpful. And then just my last question was just on the nutritional business. It seems like you're making good progress here. But just at this stage, how confident are you that you're fully through this process and that there won't be any meaningful setbacks in terms of the recovery in nutritionals? I mean, at this point, are you confident to say that the remediation that was put forth was successful and that this business is kind of in a good place going forward?
Patrick Lockwood-Taylor: Yes. I've been very close to the remediation work. As you know, I chair the steering committee. The remediation work has been executed extremely well across the three sites. All the key performance indicators show that we are fully quality compliant. I've not seen any backslide in terms of those KPIs as we've been through the remediation effort, and we're on the other side of that. So really now, it is into normal manufacturing operations, but in a much more quality compliant way.
Eduardo Bezerra: And Chris, just to add a little bit color there. So the team now is 100% focused on recovering the share on our store brand business, as well as growing the other pieces of the business that were impacted. So that's 100% now, with the situation more under control from the production and release the payment side. It's the team 100% now focused on the market side to regain the business, and working closely with our customers to get products back on shelf.
Q – Chris Schott: Perfect. And then, just as a follow-up on that one. In terms of the share regain, and any pushback at all from customers? Or so far, is that product you're producing -- kind of finding a home I guess, in terms of customers?
Patrick Lockwood-Taylor: Yes. I mean, this continues to be a capacity-constrained industry, generally. And we're not having any problem repipelining our business.
Q – Chris Schott: Perfect. Thank you.
Bradley Joseph: Thanks, Chris. Next question.
Operator: Yes. Your next question comes from the line of Korinne Wolfmeyer with Piper Sandler. Please go ahead.
Q – Korinne Wolfmeyer: Hi. Good morning, guys. Thanks for taking the question. First, I'd like to touch on the guidance reduction. If I understand correctly it looks like to be solely coming from that that SKU rationalization, and then the Upper Respiratory. So can you confirm those are the main things driving that guidance reduction? And then on the SKU rationalization, can you comment on how quick of a decision that was? Because it obviously, wasn't factored into expectations last quarter. And then, what gives you confidence that we might not see another -- you might not have to have another guidance reduction for further SKU rationalization this year? Thanks.
Eduardo Bezerra: Yes. So let me – Eduardo, here. Let me clarify. So the change in guidance that we talked at that midpoint is about four percentage points. 2.5% are related to the -- mainly the impact that we saw in the second quarter and that's mainly related to the lower global seasonal demand for cough and cold and allergy, and some impact related to the US retailer destocking. While 1.5% comes from lower distribution in the US store brand. So when we talk about the SKU rationalization, that was already considered as part of our plan. So the four percentage points reduction on our full year guidance, are related to those two impacts 2.5% and 1.5% ,okay?
Q – Korinne Wolfmeyer: Got it. That's, helpful. And then can you touch on expectations into 2025? I know you're not guiding that far out, but you have previously laid out some commentary on how to think about 2025. With the top line impacts we're seeing but offset in the P&L, is there any reason that 2025 expectations would it still be intact with the number you delivered today?
Eduardo Bezerra: Yes. So, again, it's still early in the process and we're seeing a lot of industry dynamics mainly on consumer demand being significantly impacted. But at this stage, you remember, as we have positioned before, we expect of course the significant impact we had in the first half of infant formula to not repeat. So we expect a significant portion of that being recovered. And so -- and at the same time, remember we mentioned that we would recover that, but also we needed to build some finished goods safety stock. So I would say a significant portion of the impact that we mentioned that took place in the first half of 2024 should be recovered in 2025, which also implies that the product will benefit from the price increases that we had in 2023. That's number one. It's going to be very important to understand how consumption and also the upcoming cough and cold selling season takes place, right? Because we saw a very significant impact to the whole industry in the first half. So that's going to be a very important item that we're going to be taking a look. And also, remember that we mentioned before, we continue to expect Opill to be dilutive for the next -- for the first -- since the launch until the next 18 months. So those are the three key factors that we're looking right now, but it's fair to assess right now that we mentioned in the previous quarter that would be $3 plus, and that's what we're looking right now.
Korinne Wolfmeyer: Great. And then if I could squeeze in one more on Opill. Can you provide a little bit of color around the sell-in versus sell-out differential that you're -- you're seeing? We're able to get some scanner data, and it doesn't fully align with your previous comments on the sales you've been recognizing. And I understand there's also a heavy DTC component that's not factored in the data we get. But any color you can provide on what you're seeing versus sell-in and sell-out?
Patrick Lockwood-Taylor: Yeah. Hi, this is Patrick. So very good sell-in, very good distribution. Obviously, a new consumer, a new category. We're learning and refining the model. I would say 30% to 40% of our sales are on e-commerce. Obviously, that channel lends itself to subscribe and save, and we're seeing that. Key learnings, probably shifting media more to awareness generation, how to operationalize the insurance support that we have with Caremark. We're working through that. That is significant additional volume opportunity for us. We're learning as well sort of back to the future that having retail distribution is not sufficient. Those retailers that are supporting the brand launch with incremental display clear signage are seeing a materially different sell-through rate. We want to get that executed across all retailers. It's very important for the category and the consumer. And lastly, continuing to develop our social influencing, our HCP network. The role of HCPs and the conversion to this is extremely important, given some of the broad considerations the consumer has in terms of safety, side effects, effectiveness, et cetera. And so we continue to see good awareness build. We continue to see sales growth. We've just gone through a critical milestone in terms of share. So we're learning and improving. This was never going to be optimized day one, but I'm actually quite pleased with our ability now to read and react and enhance our marketing execution.
Korinne Wolfmeyer: Great. Thanks so much.
Patrick Lockwood-Taylor: Thanks, Korinne.
Operator: Thank you. And your next question and last question comes from the line of Daniel Biolsi with Hedgeye. Please go ahead.
Daniel Biolsi: Thank you. So for the infant formula, my anecdotal evidences, your demand certainly exceeds your supply. Did you lose any shelf space? And when do you plan on being able to build safety stock? Can you do that without losing shelf space?
Eduardo Bezerra: Well, so, we're looking to how much can we start doing in 2024, but I think that's going to be very difficult given that there's still a lot of demand for store brand products in the marketplace. So we're seeing that more to take place in the first half of 2025.
Daniel Biolsi: Okay. And then one other question. Do you have any plans to reduce your inventories of phenylephrine ahead of a possible FDA decision like a competitor announced?
Eduardo Bezerra: Sorry, could you repeat? The inventories of what?
Daniel Biolsi: Phenylephrine.
Patrick Lockwood-Taylor: No. Understood what the FDA said. It's not in force or legal requirements and there still continues to be demand for those products. So we continue to supply it. And no, we've not made a tactical decision to reduce those inventory whilst we continue to see good demand. And I would say that phenylephrine-based products, it's -- so irrespective of what happens here the great majority of consumers, of course, will use alternative products. And there tends to be a less profitable category for us anyway. So, no plans and we see it as potentially positive as people move to different formulations.
Daniel Biolsi: Okay. Thank you. And then for the retailer inventory levels for cough and cold, does that require you to carry more if they're carrying less? Or do you think this is just sort of a onetime little reduction they've had in the last quarter or two?
Eduardo Bezerra: Yes, we're seeing that as more of a one-time, right? So I think what we're seeing is after a COVID situation and now that the industry per se has been adjusting that, so that's getting more into a normalized levels across the whole industry. And so it's going to be interesting, which on the other side means that probably for the cough and cold season, depending on how these start to shape up, there will be a need to replenish stocks in the third and the fourth quarter of the year.
Daniel Biolsi: Thank you.
Operator: And that is all the questions that we have. At this time, I would like to turn it back to our President and CEO, Patrick Lockwood-Taylor for closing remarks.
Patrick Lockwood-Taylor: Yes. Thank you very much. Thank you for joining us today. Thank you for those questions. I know we have a number of calls later with you, which we look forward to. So really from my vantage point, I think we're on track with our key reliability and our cost-saving initiatives. We are set for revenue recovery in the second half accelerating, particularly in quarter four. Our earnings per share adjusted for last year's tax benefit and infant formula are a healthy plus 24% versus quarter two a year ago. Our US store brand business is a key focus for us and we are forecasting growth for that driven by the volume share growth we're seeing in that category and net new contract wins that are realized as I mentioned in late 2024 and 2025. We are also accelerating the acquisition and development of world-class leadership and talent, which will also be a core driver for us going forward. So, our business is stabilizing and we can now turn more of our organizational capacity to accelerating more profitable growth being realized in 2024 and of course, through to 2025. So net, it was a stabilizing six months for us but now we're turned squarely back to growth. Thank you very much for joining us.
Operator: Thank you. And ladies and gentlemen, this concludes today's conference call. Thank you all for participating. You may now disconnect.